Operator: Good day, and welcome to the Solid Power's First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Melanie Solomon, Investor Relations. Please go ahead.
Melanie Solomon: Thank you, operator. Welcome everyone and thank you for joining us today. I'm joined on today's call by Solid Power's President and Chief Executive Officer, John Van Scoter; and Chief Financial Officer, Linda Heller. A copy of today's earnings release is available on the Investor Relations section of Solid Power's website, www.solidpowerbattery.com. I'd like to remind you that parts of our discussion today will include forward-looking statements as defined by US securities laws. These forward-looking statements are based on management's current expectations and assumptions about future events and are based on currently available information as the outcome and timing of future events. Except as otherwise required by applicable law, Solid Power disclaims any duty to update any forward-looking statements to reflect future events or circumstances. For a discussion of risks and uncertainties that could cause actual results to differ materially from those expressed in today's forward-looking statements, please see Solid Power's most recent filings with the Securities and Exchange Commission, which can be found on the company's website at where.solidpowerbattery.com. With that, let me turn it over to John Van Scoter.
John Van Scoter: Thank you, Melanie, and thank you all for joining us. 2025 is off to a good start. I'm pleased to lead off with our first operational goal for 2025, continuing to execute on our electrolyte development roadmap. As a reminder, we're currently planning to install the first globally known continuous manufacturing pilot line for sulfide electrolyte production at SP2, which we expect will expand our production capacity to 75 metric tons per year. This project is designed to support anticipated small volume programs of current and future customers as they begin to transition from traditional lithium-ion to solid-state battery technology. During the quarter, we conducted detailed design of equipment for the new line, and we received $1.5 million in reimbursements under our agreement with the US Department of Energy. We look forward to beginning facility engineering in the coming months and remain on track for commissioning of the line in 2026. Our next corporate objective for this year is to continue to execute our agreements with SK On which support SK On's efforts to develop solid-state cells based on our technology and operate a solid-state pilot line that we design to use our electrolyte. We're close to completing our factory acceptance testing for the SK On line which is a key milestone under our line installation agreement with SK On. We expect to move to site acceptance testing of the line at SK On later this year. Our third corporate objective for 2025 is focusing on driving electrolyte innovation and performance through feedback from internal cell development and customers. We continue to receive constructive feedback from customers that have sampled our electrolyte. This feedback is driving process engineering which we expect will lead to improved electrolyte performance. During the quarter, we also continued innovating in our state-of-the-art Electrolyte Innovation Center, or EIC. After commissioning the EIC last year, we've been eager to take advantage of its capabilities. We're using the EIC to develop and test production processes at the smaller scale before transferring those learnings to our pilot electrolyte manufacturing lines. Our fourth corporate objective is to ramp electrolyte sampling and identify long-term customers. During the first part of this year, we have continued to see demand for multiple generations of our electrolyte from customers, including both existing and potential new customers. We are encouraged by our customer engagement and electrolyte sampling activities and remain confident in the promise of sulfide based solid-state batteries. I'll now turn it over to Linda to discuss our financial results and progress towards achieving our financial discipline goal. Linda?
Linda Heller: Thank you, John. I'll start with Q1 results beginning with revenue. During the first quarter of 2025 we generated revenue of $6 million compared to our revenue of $5.9 million during the first quarter of 2024. Revenue recognized this quarter was driven primarily by the SK On agreement and execution of milestones within the line installation agreement. Operating expenses were $30 million for the quarter, a decrease of $1.7 million compared to the first quarter of 2024. This decrease was driven by a lower direct labor cost necessary to execute on the milestones within our collaborative arrangements. Operating loss was $24 million, and net loss was $15 million or $0.08 per share. Capital expenditures totaled $2.4 million, primarily representing costs for the construction of our continuous electrolyte production pilot line. Turning to our balance sheet and liquidity. During the quarter, we invested $26.3 million into operations and $2.4 million into CapEx, bringing our total cash investment to $28.7 million. We ended the quarter with total liquidity of $300 million as of March 31, 2025. In addition, contract receivables totaled $2.2 million and total current liabilities were $10.4 million. Final corporate objective for this year is to remain fiscally disciplined, balancing financial discipline with appropriate investments in technology development and process improvement. We remain on track to achieve this objective. I will now turn it back to John for some final thoughts.
John Van Scoter: Thank you, Linda. In closing, we continue to make progress towards achieving our 2025 objectives. I would like to thank our employees, partners and stakeholders for their loyalty and dedication. I'm excited about our opportunity to generate a strong shareholder return. We'll now take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Chris Pierce with Needham. Please go ahead.
Chris Pierce: Hey, good afternoon. How is everybody doing?
John Van Scoter: Good, Chris. Good to hear your voice.
Chris Pierce: Could you just remind us sort of how to think about '25 revenue and then how should we think about a step up or revenue from customers? I guess, not firm guidance, but some sort of timing around revenue from customers for the electrolytes. And how should we think about revenue per vehicle? Just kind of some broad brushstrokes would be great.
Linda Heller: Hi, Chris. It's Linda. Let me take a stab at answering this. '25 revenue is really dominated by two items, the substantial majority, and they're related to collaborative arrangements. SK On is clearly the largest collaborative arrangement and clearly the most effort being put in, in '25. So, that is one. We also have some government contracts, which those are also in our revenue base. And then we have our electrolyte sampling. And sampling is at a much lower level than revenue per car or anything like that. So, we don't break it out on that. We look more for repeat sampling and increased size sampling, is how we look at our revenue and determine our traction as well as our customer feedback.
Chris Pierce: Yeah. So, on that, I guess, I should have asked the question a little better. I apologize. But if we think about repeat sampling and moving towards firmer orders and things like that, like, I guess, what's the right way to think about the trajectory of revenues potentially beyond '25. And again, I'm not looking for a number, but just like just any sort of frame of reference to think about how things could move forward, whether it's how we think about EV adoption or just broadly.
John Van Scoter: So, Chris, our customers are in the early stages of their cell development and that's what's driving the sampling. So, it's not large quantities compared to where we will end up. It is increasing, though, and quite substantially. That started the back half of last year and it continues this year. So, I think that's really what I can say at this point. We've talked about timings for significant electrolyte revenue in the past, as you know. We have a wide range of customers potentially as early as 2027, 2028, but the bulk of them are around 2030 and beyond. So, we have seen increased revenues, but not substantially, given the work that is still required on the cell level.
Chris Pierce: Okay. Perfect. And just lastly for me, I know you talked about government revenue and John, I think you said something in your remarks, but I just want to -- can we drill down a little bit on the DOE loan? Just kind of what the latest update is there.
Linda Heller: Hi, Chris. It's Linda again. Let me first clarify. It is not a loan, it is a grant. So, there is a difference there. And we -- as John mentioned, we did receive $1.5 million funds during Q1 under that grant. And at this point, that's really all we can tell you.
Chris Pierce: Okay. Perfect. Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
End of Q&A:
John Van Scoter: Thank you for joining the call today and for your interest in Solid Power. Linda and I look forward to updating you again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.